Operator: Good day, ladies and gentlemen. And welcome to the NOV First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce you to your host for today’s conference, Mr. Blake McCarthy, Vice President of Corporate Development and Investor Relations. Sir, you may begin.
Blake McCarthy: Welcome, everyone, to NOV’s first quarter 2023 earnings conference call. With me today are Clay Williams, our Chairman, President and CEO; and Jose Bayardo, our Senior Vice President and CFO. Before we begin, I would like to remind you that some of today’s comments are forward-looking statements within the meaning of the federal securities laws. They involve risks and uncertainty, and actual results may differ materially. No one should assume these forward-looking statements remain valid later in the quarter or later in the year. For a more detailed discussion of the major risk factors affecting our business, please refer to our latest forms 10-K and 10-Q filed with the Securities and Exchange Commission. Our comments also include non-GAAP measures. Reconciliations to the nearest corresponding GAAP measures are in our earnings release available on our website. On a U.S. GAAP basis, for the first quarter of 2023, NOV reported revenues of $1.96 billion and net income of $126 million or $0.32 per fully diluted share. Our use of the term EBITDA throughout this morning’s call corresponds with the term adjusted EBITDA as defined in our earnings release. Later in the call, we will host a question-and-answer session. Please limit yourself to one question and one follow-up to permit more participation. Now let me turn the call over to Clay.
Clay Williams: Thanks, Blake. For the first quarter of 2023, NOV reported revenue of $1.96 billion, down 5% sequentially on seasonality and project timing and up 27% compared to the first quarter of 2022. The company posted fully diluted earnings of $0.32 per share for the first quarter, up $0.45 year-over-year. EBITDA was $195 million or 9.9% of revenue, up $92 million year-over-year. Demand remained strong, our consolidated orders exceeded revenue out of backlog for the eighth consecutive quarter, yielding a book-to-bill of 109%. For most of our business units, it was a good quarter, but overall, EBITDA came in softer than we expected due to a couple of discrete charges when related to an environmental accrual top-up and another related to litigation, along with a significant supply chain issue we encountered in our drill pipe business. This led to an EBITDA shortfall and a significant build in inventory for the Wellbore Technologies segment. Revenues and EBITDA for our other two segments, Rig Technologies and Completion & Production Solutions, were generally in line with our expectations for the quarter. Unplanned events at one of our vendor steel mills within the past few months led to a lack of raw materials for drill pipe, specifically bar stock for tool joint material, which goes into the connections at each end of every joint. Lack of raw materials disrupted our production schedules and impacted our manufacturing efficiency. As we were required to double the number of production line setups, we typically perform each quarter in order to conform our manufacturing schedule to the materials we had on hand. Consequently, we lost valuable manufacturing time and faced higher costs as we scramble to secure more expensive supplies from alternative vendors, which led to far fewer shipments and a roughly $10 million EBITDA shortfall versus our earlier expectations for the unit in the first quarter. Drill pipe inventory increased significantly as green tubes and other raw materials continued to arrive as per our original plan but couldn’t be converted. While some disruptions are continuing to affect the unit’s second quarter results, we are working closely with our vendor to catch up and expect the situation to be resolved by the time we get to the third quarter. Elsewhere around the business, we are generally seeing steady improvement in supply chain challenges as freight reliability and costs have improved and certain raw material supplies are becoming more reliable. While many exceptions to this remain, engines, electrical components, certain elastomers remain scarce and deliveries elongated, for example, other components are catching up quickly. Rig Technologies saw inventory rise as castings and forgings, which are needed to support the group’s high backlog of spare parts, rig refurbishment and equipment repair, begin to flow at a greater rate. This inventory will support revenue growth in the second quarter and beyond. Much of our inventory growth in the Completion & Production Solutions segment came in our flexible pipe manufacturing operation, which was required to buy out the rest of its 2022 allocation from our polymer vendor to secure its 2023 allocation required to meet our 2023 production schedule. These increases, along with other modest growth in Wellbore Technologies apart from drill pipe, are pegged to specific orders and projects that will contribute positively to the remainder of our 2023 performance. Notwithstanding our drill pipe manufacturing challenges, our Wellbore Technologies segment executed very well and has continued to advance several new technologies leading to market share gains in bits and digital products. Customers running our KAIZEN artificial intelligence drilling optimization software are delighted with its results and we are preparing to spud wells for two new wired drill pipe customers in the Middle East. Interest in our new shale shakers and waste management technologies for drill cuttings is rising to as the offshore market puts more rigs back to work. Turning to our later cycle segments. First, Completion & Production Solutions has line of sight on several large projects we are bidding that are tied to higher levels of offshore FIDs expected later this year. We foresee tightening industry capacity and flexible pipe for deepwater developments and rising demand for gas processing technologies from NOV in support of global LNG demand. We continue to see strong demand for Intervention and Stimulation Equipment during the first quarter, with quotations up 31% sequentially, pointing to the need to replenish the industry’s toolkit with higher efficiency, lower emission technologies. Bookings were up 5%, including a lot of interest in our lower emission electric equipment. Our new Max Completions product was introduced during the first quarter to rave reviews as pressure pumpers and their customers are embracing the power of real-time big data to optimize frac jobs. The Rig Technologies segment made significant supply chain strides during the first quarter with record levels of centrifugal pump shipments. Shipments of spare parts into repair jobs and in support of offshore reactivations, as well as spares to support our Arabian rig manufacturing joint venture all accelerated. The segment continues to see growing activity in the offshore space with 55 recertification upgrade and/or reactivation projects now underway in shipyards. The segment posted orders of $251 million and a book-to-bill of 140%, which included $60 million related to an offshore wind turbine installation vessel. Revenues were down sequentially, though, as expected, due to high fourth quarter shipments of jacking systems, the completion of a handful of older offshore projects plus the fourth quarter sale of a land rig out of inventory that did not repeat. Our outlook for the remainder of the year for all three segments is robust, despite recent commodity price weakness. After eight years of capital starvation that saw more than 600 bankruptcies in E&Ps and oilfield service companies, the role is getting back to reinvesting in its critical energy infrastructure. The floating rig count has recovered quickly off the bottom in established during the pandemic and has now recovered more than 35% with the current contracting pace and FID outlook indicating many more needed by 2024. Drillships in good working conditions have already been reactivated, and with the low hanging fruit gone, contractors will have to go deeper into their stack to find rigs to meet growing demand. The complexity and cost of future reactivations will grow, and even more so, if the owner wants to add, for instance, a second BOP stack to comply with BSEE regulations or our PowerBlade technology to reduce OpEx and greenhouse gas emissions. The rising cost of these reactivation projects has led drilling contractors to require both multiyear contracts at higher rates, as well as operator provided financing for reactivation capital and mobilization expenses. As the original OEM for the vast majority of these rigs, NOV plays a critical role in these projects, and as more rigs go back to work, the E&P operators are seeing firsthand how impactful new NOV technology developed and launched during the downturn can be. We are pleased to report that, for instance, ExxonMobil has standardized on NOV’s toolkit for its offshore rigs in Guyana, including our NOVOS operating system with multi-machine control, our condition-based monitoring system and our new automation offerings. We are also pleased to report gathering momentum in the international land market, particularly in the Middle East and expect this to translate into tangible orders in the near future. Unlike North America, which saw its Shale Revolution Miracle preceded by a complete retooling of its land rigs to AC technology, international land markets have seen very little rig replacement higher levels of technology going back decades. That began to change with the decision by Saudi Aramco to establish a joint venture with us to build rigs in the Kingdom a few years ago backed by a contract for 50 newbuild rigs that we are now building. And with production growth targets announced by the national oil companies around the Gulf slated to come from far more complex wells and reservoirs is becoming clear to operators that the region has no choice to upgrade its suite of rigs, Stimulation Equipment, bits and downhole tools. Our customers face lower commodity prices and global recession fears during the first quarter that showed no signs of diminished appetite for the goods we provide. To the contrary, our orders remain strong and customer conversations robust. In all likelihood, North American activity is at best flat for a while, constrained by $2 gas and tepid oil prices, but offshore activity in Brazil, Guyana, the Gulf of Mexico and West Africa, along with land and offshore activity around the Arabian Gulf, point to strong growth over the next several years, underpinned by expected project FIDs and double-digit E&P CapEx growth plans. The focus of the national oil companies has been on satisfying their own local needs for natural gas, the recovery of global oil demand with the reopening of the Chinese economy, their growing confidence that U.S. unconventional growth is slowing significantly and the fact that the world has been under investing in production for nearly a decade. Thus, we believe we are seeing growing confidence from our NOC customer base to make longer dated capital investment decisions. As a leading independent manufacturer of equipment and technology to the oilfield, our business blossoms later in each up cycle than other business models in the oil patch as prosperity cascades through the ecosystem. For now, our consolidated margins remain below what we consider normalized levels due to this late cycle nature, along with the residual pandemic related supply chain disruptions, we continue to battle. As the cycle progresses, we expect supply chain issues to abate, lower margin backlog to burn off and pricing to continue to improve, which will boost our margins and earnings. NOV’s installed base of equipment and new automation and digital technology products introduced through the downturn place it in a uniquely advantaged position to drive higher efficiencies for its customers throughout the oil field as capital spending and activity return. Our mission, one that we are intently focused on is translating that unique competitive advantage into acceptable shareholder returns. We recognize we still have a ways to go on this journey. Before I hand it over to Jose, for those NOV employees listening today, I want to thank you for all that you do to take care of our customers and keep their programs on track, despite cost inflation, labor shortages, broken supply chains and global volatility. You are simply the best and our customers appreciate you and I want you to know that I do too. With that, I will turn it over to Jose.
Jose Bayardo: Thank you, Clay. EBITDA in the first quarter of 2023 totaled $195 million or 9.9% of sales, a decrease of $36 million sequentially and an increase of $92 million year-over-year. EBITDA was negatively impacted by supply chain issues and related operational disruptions in our drill pipe business that Clay described, as well as $8 million in charges related to environmental reserves and legal expenses. Cash flow used by operations was $202 million during the first quarter, driven primarily by ordinary Q1 payments associated with and reflected in our accrued liabilities, as well as a sizable increase in inventory. While Clay spoke earlier of the inventory challenges we faced during the first quarter, I think, it’s worth recounting why this was such a significant use of cash during the period. First, in several of our businesses, the limited availability and uncertainty around deliveries of certain raw materials and components prevent us from completing the manufacturing of products in a methodical and efficiently planned process. We are having to set uncompleted products to the side while we await missing materials to finish the project, resulting in excessive levels of work in process or WIP and assemblies in our inventories. Second, we continue working to build buffers of critical materials and components in order to avoid the WIP build situation I just described. Third, while we are still experiencing significant delays of a limited number of materials, the broader global supply chain is healing at an accelerating rate, resulting in certain materials arriving faster and greater quantities than expected, including items for which we had been on limited allocations. Lastly, we are continuing to see growing demand for our products and services and our operations are gearing up for meaningful growth through the back half of the year. The total effect of all this is that we built up $60 million to $65 million of extra inventory during the quarter. While the inventory build was a sizable use of cash during the quarter, we welcomed the accelerated healing of the global supply chain, which will ultimately allow us to more efficiently manage our operations, improve working capital metrics and generate meaningful free cash flow as we work through the remainder of the year. We currently expect free cash flow to total between $100 million and $300 million for the full year. During the quarter, we increased our investment in Keystone Tower Systems, which resulted in NOV obtaining a controlling interest in the business. Accordingly, we have consolidated Keystone’s results into our financial statements in the first quarter. We remain encouraged by the potential for Keystone’s proprietary spiral welded wind tower technology to drive efficiencies in the wind tower space, but the operation remains an early-stage venture that we expect will continue to report losses in the near- to mid-term. NOV’s extensive market presence in wind tower installation offshore, heavy lift cranes and manufacturing makes us uniquely well positioned to capitalize on the efficiencies that taller towers bring through Keystone. Moving on to segment results, our Wellbore Technologies segment generated $745 million in revenue during the first quarter, a decrease of $17 million or 2% compared to the fourth quarter and an increase of 23% compared to the first quarter of 2022. The sequential decline in revenue was driven by seasonal slowdowns in key international markets and shipment delays due to the previously discussed supply chain issues for our Grant Prideco drill pipe business. EBITDA declined $133 million or 17.9% of revenue as the aforementioned disruptions and high margin sales from the fourth quarter that did not repeat, combined to drive outsized decremental flow through. As Clay mentioned, our Grant Prideco drill pipe business experienced supply chain challenges, which disrupted operations during the first quarter. While the issue has not been completely resolved, we expect much improved throughput from the operation in the second quarter and further improved results in the back half of the year. Drill pipe demand remained strong, and orders increased from already high levels in Q4 with an increasingly favorable mix of premium pipe for the Eastern Hemisphere and for offshore markets. Our ReedHycalog drill bit business realized an upper single-digit sequential revenue growth with solid EBITDA flow-through during the first quarter. The strong results were driven primarily by the seasonal recovery in Canada, as well as market share gains and pricing improvement in the Middle East and North America. While the Canadian breakup and slowdown in U.S. gas basins will serve as headwinds for the business in the second quarter, we expect continued market share gains in North America and incremental activity in the Gulf of Mexico and international markets to drive improved results for the unit in the second quarter. Our downhole tools business reported a mid-single-digit sequential decrease in revenue, primarily resulting from large sales of fishing tools and service equipment into the Middle East and Asia-Pacific during the fourth quarter that did not repeat. Partially offsetting the decline was a meaningful improvement in revenue from the operations drilling motor business the result of improved manufacturing throughput of our high-spec stators, which has been constrained due to challenges procuring certain high grade steel and elastomers. These stators power our industry-leading Series 55 motors, one of which was used to drill a 4.7-mile long section of a well in a single run, averaging 188 feet of drilling per hour. Looking ahead, we expect increased activity in the Eastern Hemisphere and our ability to recapture additional high-spec drilling motor market share resulting from the continued ramp in manufacturing capacity to drive solid growth for this business unit in the second quarter. Our M/D Totco business realized a low single-digit sequential decrease in revenue during the first quarter. Market share gains and pricing improvement drove low to mid-single-digit revenue growth in the U.S. for the operations surface data acquisitions offerings, but were more than offset by the seasonal decline in equipment sales into the Eastern Hemisphere. Revenues from the operations eVolve wired drill pipe optimization services were flat sequentially, but the business is preparing to ramp up several new projects, which are expected to commence in the second half of the year. The business unit also expects to continue gaining wider adoption of its digital solutions through arrangements with other customers similar to a recent global agreement signed with a major integrated oil company to provide edge computing, edge-to-cloud and cloud-based solutions that enable real-time insights to drive operational efficiencies for the customer. Our Tuboscope Pipe Coating and Inspection business posted a low single-digit percent increase in revenue with outsized EBITDA flow-through, resulting in the unit achieving its highest level of profitability in the last four years. The businesses coating operations benefited from growing sales in the Middle East, strong backlog in North America and solid global demand for its pipe sleeves and glass reinforced epoxy liners. The unit continues to increase market penetration of its technologically advanced product portfolio in the Middle East and recently won a five-year contract to provide its TK 236 Epoxy Novalac Coating System and Thru-Kote sleeves for joint operations in the Wafra field based on the product’s ability to withstand high pressures temperatures and aggressively sour oil and gas. Our Wellsite Services business posted a small decline in revenue, primarily due to the seasonal falloff in capital equipment sales from Q4 to Q1. Despite softening activity in the Western Hemisphere, the business unit is gearing up for a meaningful ramp in both its solids control and managed pressure drilling businesses with sizable projects scheduled to kick off in the second half of the year. Looking forward to the second quarter for our Wellbore Technologies segment, we expect the recovery in our drill pipe manufacturing operations and activity growth in the Eastern Hemisphere will more than offset headwinds from softening activity in North America, resulting in a sequential revenue improvement in the mid-single-digit percent range. Additionally, improvements in facility absorption, pricing and project mix should yield incremental margins in the mid-40s. Our Completion & Production Solutions segment generated revenues of $718 million in the first quarter of 2023, a decrease of 3% compared to the fourth quarter, but an increase of 35% compared to the first quarter of 2022. EBITDA for the first quarter was $54 million, down $12 million sequentially and up $44 million year-over-year. After the segment achieved its highest quarterly bookings since 2014 and eight straight quarters with a book-to-bill greater than one, orders decreased to $407 million in the first quarter, resulting in a book-to-bill of 96%. The decrease in Q1 order intake is attributed to typical seasonality in certain businesses. Additionally, we are pushing price so that new projects are accretive to project margins in our current backlogs and to drive improving segment margins and returns. One of our business units within CAPS walked away from three projects during Q1 worth over $100 million, where we were the preferred vendor and given the opportunity to match the price of other vendors. Despite this example in a market where global manufacturing availability is mostly absorbed, we are starting to see competitors become more rational in their pricing and those who remain undisciplined will soon exhaust their capacity and likely disappoint their customers. Our Intervention & Stimulation Equipment business posted a low double-digit percent increase in sequential revenue and revenue is up roughly 50% year-over-year. The solid sequential increase in revenue was primarily driven by strong shipments of both conventional DGB and eFrac pressure pumping equipment. During the quarter, we shipped 50,000 horsepower of pressure pumping equipment, including 10,000 horsepower of eFrac units. We also sold and shipped our first all-electric ideal processing plant, which can deliver more than 200 barrels per minute of water and 30,000 pounds per minute of proppant and is equipped with NOV’s latest digital capabilities, making it very simple to configure and operate. On its first day in use, our customer was able to exceed its average number of stages completed in a day. Despite oil price volatility and low natural gas prices, which we believe caused some customers to defer or cancel certain orders we expected, book-to-bill remains north of 100%. Our service provider customers have been running equipment extremely hard, achieving healthier returns and generating more cash, all of which we believe will continue to drive meaningful demand for replacement equipment in the U.S., despite a slowly softening market. While we have seen customers put indefinite holds on plans to add expansion capacity, quoting activity related to replacing tired equipment with new more efficient dual fuel or electric capabilities has remained robust. Our Fiberglass business posted a mid-single-digit sequential decrease in revenue, but was up more than 50% year-over-year. The seasonal decline in first quarter revenue was partially offset by a backlog that remains near record highs and stronger than usual mid-quarter shipments of fuel handling related equipment with customers eager to beat price increases that went into effect on March 1st. Orders came in just shy of 100% book-to-bill with relatively soft orders from U.S. oil and gas customers. Since quarter end, we have seen U.S. customers returned to the table and the outlook remains strong across the businesses various markets. Our Process and Flow Technologies unit posted a mid-single-digit sequential revenue decrease in the first quarter with a strong sequential improvement in its production and midstream operations being more than offset by lower progress on large projects nearing completion within the business units, Wellstream Processing and APL operations. Production in midstream operations benefited from an improving supply chain, which led to improved manufacturing output, allowing the operation to capitalize on its strong backlog and from continued robust order intake of production chokes, pumps and sand traps. In the units offshore-oriented Wellstream Processing and APL operations, order intake has remained soft over the last few quarters as operators have been recalibrating the impact of inflation on projects and as we have passed on low-margin opportunities. However, discussions surrounding large offshore project FIDs accelerated during the quarter and we are gaining confidence in the order outlook for the remainder of the year. Our XL Systems conductor pipe connections business experienced a sizable sequential decrease in revenue after completing several large project deliveries in the fourth quarter. Despite several operators in the Eastern Hemisphere pushing new projects to the right, siting delays and uncertainty on the timing and availability of large diameter casing and wellheads bookings remained solid in Q1. Offshore activity is continuing to ramp, setting a very compelling backdrop for our XL Systems business and we are expecting significant improvement in its results as we move through the year. Our Subsea Flexible Pipe business experienced a mid-single-digit decrease in sequential revenue. Orders for the quarter remained solid, with book-to-bill near 100%. We are continuing to obtain better pricing for new orders as global capacity remains limited and demand for Subsea Flexible Pipe for sanctioned projects remained strong. For the second quarter, we expect our Completion & Production Solutions segment to achieve a mid-single-digit increase in revenue with EBITDA flow-through in the lower 30% range. The quality of our backlog is improving with lower margin projects winding down and higher margin projects coming on, which should result in steadily improving margin progression for the next several quarters and we expect the segment to end the year with an EBITDA margin in the low-double digits. Our Rig Technologies segment generated revenues of $550 million in the first quarter, a decrease of $70 million or 11% compared to the fourth quarter and an increase of 25% compared to the first quarter of 2022. The sequential decline was a result of normal seasonality in our aftermarket operations and a falloff in capital equipment sales, which resulted from the completion of some major projects and the rush to ship equipment at year-end. The 25% year-over-year revenue growth better reflects the strengthening fundamentals we are seeing for our Rig Technologies segment. Adjusted EBITDA declined $19 million sequentially and improved $33 million year-over-year to $69 million or 12.5% of sales. New capital equipment orders totaled $251 million, representing a book-to-bill of 140% and driving total backlog up to $2.88 billion. The recovery in the offshore and Middle East markets is continuing to gain momentum, which helped drive our fourth straight quarter of improved bookings for conventional rig equipment. During the quarter, we received a significant capital equipment order associated with reactivating a seventh generation drillship. The project will include installing a new 165-ton active heave compensated crane and an upgraded control system, which includes a drilling automation system and drill pipe handling tools. We expect improving demand for rig capital equipment to continue. Rising technical and equipment specifications and tenders for the Middle East are acquiring the revitalization of drilling fleets that we have been expecting for some time. Similarly, tendering activity for offshore markets will require the need to continue reactivating rigs and we are beginning to get quite deep into the stack. Simply getting some of these rigs back into working condition is becoming a much bigger job, but most of the rigs also require meaningful upgrades to conform with operator requirements. We expect all of this to translate into a continued improvement in rig capital equipment orders through the rest of the year. Increasing activity, reactivations and upgrades are driving strong demand for aftermarket products and services. During the quarter, our rig aftermarket operations posted a 13% increase in spare part bookings, our fifth consecutive quarter of improved orders and the best spare parts bookings quarter since the third quarter of 2019. We expect demand for our aftermarket operations to remain robust based on the recent bookings and quoting activity we have seen from our field engineering group. Bookings and quotings levels in Q1 increased 31% and 40%, respectively, from average levels we saw during the second half of last year, with customers asking our engineers to help them prepare for reactivations, pressure control equipment upgrades and the addition of enhanced automation capabilities. While we were cautious on the offshore wind market coming into 2023 due to the impact of inflation and project delays, developers appear to have recalibrated time lines and are getting over the sticker shock resulting in more optimism around additional FIDs. During the first quarter, we received an order for the design and jacking system of a large Wind Turbine Installation Vessel, WTIV, for a European client. This is the second order from this customer and the sixth order for our NG-20000 vessel design, which has become the industry standard for the offshore wind installation market. Of the 15 WTIVs ordered globally in the last three years, excluding China, 12 have been based on NOV’s designs and we are optimistic about additional orders later this year as vessel demand for planned projects in the back half of the decade continue to outstrip existing and planned WTIV capacity. Additionally, during the first quarter, we delivered the world’s first telescopic heavy lift crane, capable of lifting 2,500 tons in retracted mode and 1,250 tons in extended mode. The crane was delivered to a Japanese client and is set to install its first offshore wind turbines later this month. We have become the wind turbine installation industry’s leader with a reputation as a dependable supplier with the ability to develop and deliver leading-edge technologies to drive efficiencies within the renewables sector. For our Rig Technology segment, we expect continued improvement in our aftermarket operations and higher levels of capital equipment revenue out of backlog to translate into sequential revenue growth of between 5% to 10% with incremental margins in the mid-20% range. While Rig Technologies is our longest cycle operating segment and is still in the very early stages of its recovery, we believe the Middle East, offshore and wind markets are unfolding in a manner that will allow the segment to drive meaningful growth over the coming years. With that, we will open the call to questions. Hello?
Operator: Okay. Thank you. [Operator Instructions] And our first question comes from Jim Rollyson with Raymond James. Jim, your line is open. Please go ahead.
Jim Rollyson: Hey. Good morning, guys. How are you today?
Clay Williams: Good morning, Jim.
Jose Bayardo: Hi, Jim.
Jim Rollyson: Clay, a lot of talk by yourselves and some of the other large players just around improvements and kind of the outlook for international and offshore, which obviously bodes well for you over time. But curious when you break down kind of what you are seeing between -- you have talked about FPSO demand and your role there, obviously, rig reactivations and the fact that, you guys have talked about getting deeper in the weeds and the incremental capital dollars that are required there. Just as you kind of frame out how to think about where are the greatest lots of opportunity as this unfolds over the next several quarters for NOV?
Clay Williams: Thanks, Jim. All three of our segments participate in the offshore, and I think it’s fair to say for all three segments as well as our peers in oilfield services, the offshore generally is a higher calorie sort of environment. And so I think why there’s so much enthusiasm across oilfield services with respect to the offshore coming back is the fact that it’s been largely absent since 2014. And so just to run it down, obviously, Rig Technologies as the leading OEM provider of equipment that’s seen on almost all the offshore rig fleet, as those rigs go back to work, we are the kind of the first call, drilling contractors make when it comes to reactivating their rigs to upgrading their rigs, which is why we are seeing rising demand for activity in shipyards around the world. I think I mentioned in my prepared remarks that re-certifications of rigs, special purpose surveys, upgrades and reactivations, we now have 55 projects underway in shipyards to support that effort, along with kind of the day-to-day aftermarket spare parts. And what we are particularly excited about is the adoption of technologies we developed for both land and offshore, but in the offshore and mentioned ExxonMobil standardization on their offshore fleet for the Guyana development. In Completion & Production Solutions, it’s a little more downstream and so the excitement there is really focused on FPSOs. We have a number of conversations underway with producers around our gas processing technology, our swivel turret monitoring systems for FPSOs, lots of areas in that world that we are market leader and then, finally, on Wellbore Technology. As these rigs actually do go back to work, they operate at very high day rates and so efficiency matters a lot. There’s a tremendous amount of focus on efficient wellbore construction operations and I am excited about the technologies that we have in digitally monitoring and optimizing those operations and the impact we are going to have as the rig count gets back to work. So haven’t -- if you look at the offshore rig count, the rigs actually turning to the right, we are still not back to where we were in the first quarter 2020, but it’s clear to all of us in the space that the puck is going in the right direction. There’s been a lot of E&P conversations around FIDs on developments that have been -- we have all been working on for the past several years that are now finally starting to move forward and excited about the impact on our business.
Jim Rollyson: Thanks. That’s very helpful. And then just for one follow-up. On the Well Tech -- Wellbore Tech side, obviously, you had some issues this quarter. It seems like the charges were kind of one-off deals. Hopefully, the steel supplier issues, you mentioned getting better in second quarter and should be fully resolved by the third quarter. When we think about the margin progression, obviously, you mentioned what second quarter looks like. But how quickly does Wellbore Tech get back to, because it sounds like everything else outside of that was actually performing quite well, plus or minus the seasonality. So just trying to understand how I think about margin progression there, getting back to where we were in 4Q and then beyond?
Clay Williams: It is. As we mentioned, we are going to have a little bit of our drill pipe problems drift over into Q2, but we are pretty confident by Q3 that’s behind us. And so, when we get past -- when we get to the end of the year, I think, we are going to have margins in that segment that start with two and feel pretty good about that outlook, Jim. It’s just -- you can tell from our prepared remarks and our results, it’s frustrating to continue to have to battle through supply chain challenges and I will credit that team for the yeoman’s work that they did in the first quarter to overcome a pretty extraordinary disruption in a critical component that goes into drill pipe and they are very fully engaged on getting it fixed and behind us, and we are confident we will.
Jim Rollyson: Great. Thanks for the answers.
Clay Williams: Thanks, Jim.
Operator: Okay. Standby while I bring the next caller. And the next question comes from Luke Lemoine with Piper Sandler. Luke, your line is open now. Please go ahead.
Luke Lemoine: Hey. Good morning.
Clay Williams: Good morning, Luke.
Jose Bayardo: Hi, Luke.
Luke Lemoine: Clay, your Rig Tech orders have kicked up nicely from year ago levels, been stabilized at a higher level kind of in the mid-$200 million range the last couple of quarters.
Clay Williams: Yeah.
Luke Lemoine: Do you think there’s now a base you can kind of build-up on and then could you talk about the margin profile of the backlog Rig Tech relative to your current Rig Tech margins?
Clay Williams: Yeah. Yeah. We were pleased to see strong 140% book-to-bill in Q1 for Rig Technology. Jose mentioned, we had a pretty sizable wind turbine order in that, but we have had pretty much one of those -- one or two quarters, we haven’t had one, but that’s been a pretty nice, steady piece of workforce. And then in addition to that, I think, Jose also mentioned, we had a rig reactivation capital equipment order embedded in there as well and that -- for that particular rig, it was, call it, in very rough numbers in the $50 million range. Yeah, we are hopeful that, that we can kind of continue and that this is sort of a new base level, and as we also said in our prepared remarks, our expectation is that rigs are going to get more expensive to reactivate, and we are hopeful that they will also carry more upgrade equipment and replacement equipment as we get deeper into the stack.  And so, but I would just point out, as you know, orders are always lumpy and there’s ups and downs and rig certainly benefited from this higher level of sustained demand in the first quarter, but orders are always going to be a little bit volatile for us and completion and production solutions. And so, but on the whole, I think, the level of enthusiasm across the oil and gas space is underpinning a pretty strong and robust outlook for demand for what we make.
Luke Lemoine: Okay. Got it. And then maybe just kind of on the margins in the backlogs…
Clay Williams: Oh! Sorry.
Luke Lemoine: …and just directionally or magnitude?
Clay Williams: Yeah. Thank you. Sorry. The second part of your question was margin improvement, and what I am most optimistic about there, frankly, is the sort of evaporation of all of the supply chain challenges that Rig Technology has been dealing with for these past couple of years as well. We have -- our number one mission is to make sure that we deliver the spare parts and the consumables that our drilling contractor customers need to execute and they keep their rigs working. And so we in that group, too, have been doing yeoman’s work and moving heaven and earth to make sure our customers have what they need and that’s been a headwind in that business. And we were pleased in the fourth quarter to see in particular more castings and forgings available from foundries that support our operation and a step up in shipments and then even more shipments in the first quarter. So for instance, record shipments of some trifocal pumps. And so it’s kind of the supply chain issues abate, I think, that can kind of give rise to stronger margins in Rig Technologies. But we think that, that business, as we kind of look to the end of the year, we ought to see its EBITDA margins get up into kind of the low- to mid-teens range, let’s say.
Jose Bayardo: And so, Luke, I’d add, so specifically related to the backlog, the pricing and the composition of the backlog within rig is quite good. That’s probably even more of a volume issue and some of the other external factors. So here as we have now had four straight quarters in a row of improving bookings specifically related to rig equipment, we feel much better about the absorption of our facilities. And as Clay mentioned, the return to normalization of the supply chain should allow much better margins for Rig Technologies overall.
Luke Lemoine: Okay. Great. Thanks, Clay. Thanks, Jose.
Clay Williams: You bet. Thanks, Luke.
Operator: And our next question comes from Neil Mehta with Goldman Sachs. Neil, your line is open. Please go ahead.
Neil Mehta: Good morning, team, and thanks for all the color. The first question is a follow-up to last quarter around free cash flow and I thought it was interesting that, Jose, you made the comment that you expected $100 million to $300 million of positive free cash flow this year, is that right? And given the burn in the first quarter, which I recognize is seasonally weak, maybe you could talk about the cadence of some of the drivers that give you confidence that could flip to positive?
Jose Bayardo: Yeah. Sure, Neil. First of all to address the guide on that, yes, it was between $103 million of free cash flow.
Clay Williams: $100 million.
Jose Bayardo: I am sorry, $100 million to $300 million free cash flow for the full year. So more than offsetting the $256 million of free cash flow -- of negative free cash flow in the first quarter. So, yes, as you pointed out, Q1 is always seasonally a very difficult free cash flow quarter and we had expectations that we would have a material consumption of cash in the first quarter of this year related to that seasonality, as well as what we had seen coming from a need to sort of continue building buffers in our inventory and to prepare for what was looking to be a really good year in 2023, particularly as we get back to the back half year. So all of that occurred as expected, plus the laundry list, the four different items I mentioned in my prepared remarks related to supply chain challenges and accelerated recovery of the supply chain, which led to about $65 million more of inventory than what we were expecting three months ago. So looking at the next three quarters of the year, there are always a lot of puts and takes one quarter to the next. The timing of a payment from a customer, a single payment could be plus or minus $50 million and depending on where it hits one quarter to the next is going to make a pretty material swing. So I am not going to give precise guidance for every quarter. But really, if you sort of look at the math on how we get to that free cash flow guidance, what we are looking at is, working capital metrics at the end of this year, and when I said working capital metric, call it, working capital as a percentage of revenue run rate, is really 200 basis points to 300 basis points higher than where we exited last year gets us within the range of that guidance. So these are not Herculean-type assumptions that are built into our expectations for free cash flow. And typically, what happens is Q2 is a slightly positive free cash flow quarter and it improves in the final two quarters of the year. So that’s kind of what my expectations are.
Neil Mehta: And how much visibility do you have into that back half inflection at this point in the year, given you are a long cycle business? Is it fair to say it’s something where you have a high degree of confidence interval and to the extent that there would be a downward surprise to that sharp improvement in free cash flow, what is the biggest risk to it?
Jose Bayardo: Luke, we feel pretty good about the outlook in the second half of the year and within that outlook is baked in some softness within the North American marketplace. And so really the -- I see the bigger risk on the free cash flow really relates to a higher exit rate than what we have dialed in and that’s certainly a possibility. And as I have always said, I would gladly take a higher growth rate and less near-term cash flow to have that higher growth rate that ultimately translates into higher free cash flow down the road.
Neil Mehta: Yeah.
Clay Williams: Neil, as you know, the business model of providing capital equipment to the oilfield can be pretty. There’s a lot of optionality and can be a lot of pretty explosive growth in that model. And if you look back to the prior super cycle, our topline grew almost seven-fold between 2004 and 2014. And so to Jose’s point, a lot more revenue is a possibility and would require more investments and inventory and working capital to support, but not a bad problem to have.
Neil Mehta: Yeah. Those are good problem. Thanks so much, team.
Clay Williams: You bet.
Jose Bayardo: Thanks, Neil.
Clay Williams: Eric, are you there?
Jose Bayardo: Eric’s speaker on mute.
Clay Williams: Eric, we are ready for the next…
Operator: Yes. I am so sorry. Yes. I have brought Stephen Gengaro from Stifel. Your line is open. Please go ahead.
Stephen Gengaro: Thanks. Good morning, gentlemen.
Clay Williams: Good morning, Stephen.
Stephen Gengaro: Two for me. I think, first, we have heard a lot from some of the U.S. pressure pumpers about kind of upgrading assets and really seeing a bifurcation in the market for electric fleets. And I am just curious what you are seeing on that end and how you think about that business potentially picking up over the next several quarters as companies start to see the benefits and probably kind of go get in line for new equipment?
Jose Bayardo: Yeah. Stephen, I will start off on that one. So, yeah, I mean, right now the dialogue with our customers for pressure pumping equipment in the North American marketplace remains very positive, very, very constructive. As I mentioned in my prepared remarks, there were some conversations that we are having last quarter with customers about potentially adding what would have been net expansion fleets. Those specific conversations, which were a very limited number of conversations have died off. But I’d say the conversation related to the need to replace and upgrade existing fleets is every bit as strong as it was last quarter, if not stronger. So I think people are really, one, the asset base is tired. It’s been run extremely hard, but maybe even more importantly, to your point, we are seeing more customers really acknowledge that bifurcation that you touched on in terms of the reliability, the quality and the total cost of ownership associated with either state-of-the-art dual fuel or e-fleets. So we expect demand to remain pretty resilient going forward. Plus, honestly, we are also seeing good demand coming from wireline equipment and pressure control equipment, both domestically as well as in international markets. So feel pretty good about the footing of our Intervention and Stimulation Equipment operations.
Clay Williams: Yeah. We hear anecdotally that the pressure pumpers customers, the producers are pressing the pressure pumpers to have a plan to reduce emissions and natural gas and electrification is generating a lot of interest around that question. The other data point, I don’t know this in our prepared remarks, but I think our quotations in our business unit were up 30% or 35% sequentially in that area. So a lot of good conversations around the need for Stimulation Equipment.
Stephen Gengaro: Great. Thanks. That’s great detail. One quick one on the Rig Tech side, when we think about the order flow you are seeing and sort of the revenue out of backlog numbers as the next several quarters unfold. Is there an inflection point we should be thinking about as far as revenue out of backlog or is it a pretty smooth likely gradually move higher over the next several quarters?
Jose Bayardo: Yeah. Stephen, the expectation is it’s more of a smooth progression over the next several quarters.
Stephen Gengaro: Okay. Great. Thank you.
Clay Williams: Yeah. Thanks, Stephen.
Operator: And I am just bringing the next caller forward, Kurt Hallead with Benchmark has the next question. Kurt, your line is open. Go right ahead.
Kurt Hallead: Great. Thank you. Hey. Good morning, guys.
Clay Williams: Good morning, Kurt.
Kurt Hallead: As always good color. Always appreciate it. So, yeah, my initial question here is also on Rig Tech and as you referenced number of potential deepwater rig activation potentially coming over the course of the next 12 months or so to satisfy the incremental demand. Based on the data, I think, I have seen, there is about 14 deepwater rigs that likely to upgraded -- that could be upgraded within 12-month period with cost range anywhere between $70 million to $100 million. You have already given some indication that on a rig activation order you booked in the quarter that had about a $50 million ticket size to it. So I guess that answers the question that I had, but is that kind of on average would you or we would expect to be able to get from the rig activation?
Clay Williams: Well, I’d be -- I am going to caution us all that you are kind of asking how long is a piece of rope, every rig is different and the capabilities of a rig required for a particular drilling program are going to vary by operator. And frankly, nobody is going to mood to spend capital that they don’t have to spend and so what I would tell you it’s hard to give you a clean average it’s going to apply to all of those rigs, they all need the different, well, first of all, we have got a engineers in there on the deck and look around and see what remains to be done. But the general trend and this is the picture we were trying to paint in our remarks is that, as you get deeper into the stack, the rigs are the cheapest and easiest to get reactivated first, get reactivated first. We are getting deeper into the stack and it’s going to take more -- increasingly more work and so I am hesitant to generalize and it’s a pretty wide bracket of cost. But on that notwithstanding, yeah, in the market that today has about 80 drill ship drilling, there is about 14 that could, paying how much money they have could be put back into that marketplace. I think there was another four being constructed and that were suspended in those construction activities could pick and shipyard get back to completing those rigs and putting them into the marketplace and then after that, I think, you are going to have to -- you would be looking building your rigs and so that’s kind of the extent of capacity that’s out there.
Kurt Hallead: Yeah. Got it. Yeah. Great. Thanks. One follow-up, so you guys referenced that, your current EBITDA margins for each of your segments are below what you could see be normalized. So could you give us a refresher on what you consider to be normalized margins for each of those businesses and I probably would then just kind of see if you can give us a perspective as to given the visibility you have, Clay, on how things are unfolding as normalized margin, the prospect for 2024, is it going to maybe take a little bit longer to get there?
Clay Williams: Yeah. I would tell you, I am going to give you a consolidated answer rather than go segment-by-segment, but mid-cycle margins here ought to be mid-teens in my view and 9.9% is disappointing. We were knocking on the door in 2018, 2019, and I think, we need to see -- the supply chain issues get behind us, we need to continue to push price. We need to burn off some lower margin backlog and that’s the path to get us back to acceptable margins, which is where we ought to be now. And then if you kind of extend the story and you go back to the last super cycle, as we get past the mid-cycle and things really get a little more heated up, margins that start with the two are a possibility. And so that’s really what we are targeting and we are working on improving the margins in all three of our segments and using all the levers we have from improved operational management, along with price increases and that’s what the goal is.
Kurt Hallead: Okay. Great. Thanks. Appreciate the color.
Clay Williams: You bet.
Operator: Okay. Standby for our next caller. It is Marc Bianchi with TD Cowen. Marc, your line is open. Please go ahead.
Marc Bianchi: Hey. Great. Thank you. I was curious on the outlook for CAPS orders. So, I mean, thematically, it sounds like things are very, very strong and there’s good levels of inquiry and so forth. But if I just look at first quarter fell off from arguably an exceptional fourth quarter. But maybe in the context of those two data points, how do you see orders developing for the remainder of the year here?
Clay Williams: Yeah. Actually, Jose referenced the fact that like in one of our CAPS business units. In the first quarter, we had three different projects we were bidding that exceeded $100 million that the customer came back to us and says, hey, if we want to go with NOV, we recognize NOV superior quality and lower risk and better value, but we have got a competitor of yours that offer at a different price, if you will match their price, we will go with you and we said no. And so the pro forma version of our orders for Q1 with those three orders in them would be a very strong book-to-bill in the 120%, 130% I guess. And so like we need to improve our margins in CAPS, 7.5% EBITDA margins in the first quarter are not acceptable and one of the paths to get there is to get better pricing on what we sell.
Marc Bianchi: Hello, Clay? Hello.
Operator: I am on the line with you. Is that Marc speaking?
Marc Bianchi: Yes.
Operator: Yeah. I do not know what just happened to these gentlemen, it looks like they have just gone off-line. If everyone, if you just stand by, I am going to try to get them back on the call.
Blake McCarthy: Everyone back
Operator: Yeah. Hello. This -- hey. Blake, are you back online? Blake, are you back online? Ladies and gentlemen, please standby. I am working to get these folks back online. Thank you for your patience, everyone.
Blake McCarthy: Hello.
Operator: Yes. You are live.
Blake McCarthy: Yeah. Great. Thank you. We still have -- Marc, are you still there?
Marc Bianchi: Yeah. I am.
Clay Williams: I apologize. Marc, I am not sure what happened, but or how much comment you got?
Marc Bianchi: Oh! You had mentioned there was work you were bidding on that customer or tendering the customer…
Clay Williams: Yeah.
Marc Bianchi: … with somebody else and it would have been 120% to 130% kind of book-to-bill. So I guess that kind be the…
Clay Williams: No…
Marc Bianchi: … conclusion is.
Clay Williams: Yeah. Let me just cap it off by saying that no one should look at our CAPS order trend for the first quarter and become alarmed. Our CAPS book-to-bill. 96% is effective replacement of what we ship. We are being more disciplined around pricing and as our competitors fill up their capacity. We feel very good about the outlook. We also have a number of FEED studies with customers in that business that we think will translate to larger orders on down the road and working closely with customers there.
Marc Bianchi: Okay. Great. Well, thanks. In the interest time, I will just leave it to one.
Clay Williams: Marc.
Jose Bayardo: Thanks, Marc.
Clay Williams: Operator?
Operator: Thank you, Marc. Yes.
Jose Bayardo: We know it’s a very busy day. But if people would like to stay on for an extra 5 minutes after the top of the hour, we can do one or two more questions.
Operator: Okay. I have got Arun Jayaram with JPMorgan on the line right now.
Clay Williams: Hi, Arun.
Arun Jayaram: Yeah. Good morning. Yeah. Hi, guys. Clay, I wanted to get maybe some insights on what you are seeing from your OFS customers. I mean you have mentioned historically that the OFS ecosystem is an important part of your revenue base and I wanted to see if you could talk about what trends you are seeing from some of your international offshore focused OFS customers, as well as onshore where some of the land drillers have highlighted reduced CapEx trends as they have gone through the earnings season…
Clay Williams: Yeah.
Arun Jayaram: … just give on some of the gas risk, I’d love to get your thoughts on that and…
Clay Williams: Yeah. I think with respect to your last observation, most of that’s in North America. Well, we tell you it’s a very different picture overseas and so we are very encouraged about interest and demand for land operations both in South America, as well as the Arabian Gulf. And for instance, we have won -- there was a land tender by an NOC, land rig tender, pretty good size and we are selling the components into the Asian rig packager that is going to be providing those rigs to that NOC. With respect to our Arabian rig manufacturing joint venture in Saudi Arabia. As you know, we have been delivering rigs to Sunaad [ph] there and pleased with the progress there. In addition, we have another drilling contract that we think we are very close to landing a couple of rig order from as well as other drilling contractors in the Kingdom that are talking to us about the need to really upgrade the fleets. And that’s pressure that’s coming from the NOC, happy with the level of efficiency coming out of the old fleets that predominate in those regions or in South America and so I think that’s going to be the engine that it drives upgrade onshore. And then with respect to the offshore, we are hearing this from all over, more offshore rigs going back to work, and we, of course, work closely with the drilling contractors that run those rigs, along with providing services directly to those rigs. And so for instance, our brand business, our waste management, drill cutting processing business, they are rigging up on a lot of offshore rigs and anticipate better things in the second half of 2023 as more rigs spud and these programs get underway and we can provide services directly into those. Likewise, our Tuboscope business, it’s pipe operation here on the Gulf Coast, Amelia, at Sheldon Road or staying a lot more offshore pipe coming in, in support of offshore operations. So really all around the world, everyone is kind of looking at the same data set and seeing growth ahead in the offshore.
Arun Jayaram: And real quickly on the Sunaad new builds, how many of those are in backlog and is the opportunity set 50 there?
Clay Williams: Yeah. I think we have delivered three, two are working. We are in the process of doing the third. We are building four and five. The total order is 50 rigs. And so remaining would be 50 minus the rigs I just described to you.
Arun Jayaram: Sounds good. Really appreciate it.
Clay Williams: Yeah. Thank you, Arun. We have time for one…
Blake McCarthy: Can you hear us?
Operator: Yes. I can hear you.
Clay Williams: Hello?
Operator: I can hear you. Yes. Tom Curran with Seaport. Your line is open.
Tom Curran: Good morning. Can everyone hear me?
Operator: You know what, I believe that we have lost NOV again.
Tom Curran: Okay.
Operator: I am so sorry for the technical difficulties today, folks. Let’s give them a moment to see if they can dial back in.
Tom Curran: Sure.
Operator: It is. I am unable to connect them from my end. Dial back into call.
Tom Curran: I understand.
Operator: Okay. Blake?
Blake McCarthy: Yes. We are going to go ahead and wrap it up, but let’s pass it over to Clay Williams -- we are going to pass it over to Clay Williams, Chairman and CEO, for closing remarks.
Clay Williams: Thank you, Blake, and thank you, Operator. Appreciate all everybody joining in on a very busy earnings day. We look forward to updating you on our second quarter results in July. Have a great day.
Operator: Thank you everyone for participating in today’s conference. This does conclude the program. You may now disconnect.